Operator: Greetings. Welcome to the Helen of Troy Limited First Quarter 2026 Earnings Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce Ann Racunis, Director of Investor Relations. Thank you. You may begin.
Ann Racunis: Thank you, Operator. Good morning, everyone. Welcome to Helen of Troy's first quarter fiscal 2026 earnings conference call. Before I review our agenda with you, I would like to welcome back Jack Jansen, our former SVP of Investor Relations and Business Development. He's temporarily rejoined the company while we conduct a search for a more permanent replacement for this role. The agenda for the call this morning is as follows. I will begin with a brief discussion of forward-looking statements. Mr. Brian Grass, the company's Interim CEO, will provide his thoughts on the company's current operations and key priorities for fiscal 2026. Tracy Shereman, our Interim CFO, will then provide an update on our tariff mitigation strategies, give an overview of our financial performance in the first quarter, and provide commentary on our expectations for the second quarter of fiscal 2026. Following our prepared remarks, we will open up the call for Q and A. This conference call may contain certain forward-looking statements that are based on management's current expectations with respect to future events or financial performance. Generally, the words anticipates, believes, expects, and other similar words are words identifying forward-looking statements. Forward-looking statements are subject to a number of risks and uncertainties that could cause anticipated results to differ materially from the actual results. This conference call may also include information that may be considered non-GAAP financial information. These non-GAAP measures are not an alternative to GAAP financial information and may be calculated differently than the non-GAAP financial information disclosed by other companies. The company cautions listeners not to place undue reliance on forward-looking statements or non-GAAP information. Before I turn the call over to Mr. Grass, I would like to inform all interested parties that a copy of today's earnings release and Investor Relations presentation has been posted to our website at helenoftroy.com and can be found on the Investor Relations section of the site or by scrolling to the bottom of the homepage. The earnings release contains tables that reconcile non-GAAP financial measures to their corresponding GAAP-based measures. I will now turn the conference call over to Mr. Grass.
Brian Grass: Good morning, everyone, and thank you for joining us. I want to start by welcoming Jack Jansen back to the team. For those that may not know, before his retirement in 2024, Jack had been with the company for almost 25 years, with over ten years in investor relations and business development. It's great to have him filling in as we transition to a new leader in this role. I also want to welcome Tracy back to the company. I'm grateful for our partnership as we navigate CEO change, tariffs, and an uncertain macro environment. Leadership transitions bring fresh perspective, opportunity, and urgency. It's been just over two months since Tracy and I stepped into our interim roles. We feel fortunate to step into these roles with a deep understanding of our business, but we intentionally spent much of the last 60 days listening closely to our key stakeholders, especially our associates. The message we heard was that our people are hungry to win. Our associates care deeply about our brands, our purpose, and each other. Through our conversations, we heard enthusiastic feedback and candid ideas on where we can do better. There's a clear sense of urgency and readiness to drive the company forward. What also became clear is that to win in today's environment, we must get back to fundamentals and move with greater speed. Candidly, we lost some of that along the way. We became too matrixed, too slow, and at times disconnected from each other and the marketplace. We made our company too complicated and lost focus on what made our businesses great. I own that as a leader. Now time to simplify, refocus, and accelerate. With all that in mind, we are focusing on five key priorities to rebuild our platform for profitable growth. One, restoring confidence within the organization and meeting our external commitments to key stakeholders. We're strengthening connections with consumers, retail partners, investors, and associates and are focused on rebuilding the adaptability needed to deliver on our commitments in a dynamic environment. Two, improving our go-to-market effectiveness and simplifying how we operate. We're taking deliberate steps to further reduce costs and simplify our business. That means making tough choices, rationalizing and sharpening our spend, and enabling greater accountability and ownership. As we drive efficiencies, we're forming a leaner, more agile organization that is much better connected commercially and can better capitalize on incremental opportunities. Three, refocusing on innovation for more product-driven growth while optimizing our marketing investment. We intend to leverage consumer insights. to reconnect with the consumer and our markets and allocate more investment to build a deeper pipeline of breakthrough innovation that is new to the market and solves real consumer pain points. The Drybar all-inclusive styler we just soft-launched is a good example of this kind of innovation. We will also seek to capture shorter-term opportunities with new product features and enhancements, form factors, usage occasions, collaborations, kits and bundles, colors, and finishes. In addition, we will work to accelerate time to market for innovation already in development. Finally, we are sharpening our marketing investment to make it punch above its weight by focusing on the highest returns, channels, and tactics, driving more earned media, optimizing our paid funnel mix, producing assets more cost effectively, and continually refining based on our measured performance. Four, focusing on the fundamentals and fully leveraging the unique strengths of our brands. Focusing on the fundamentals means doing fewer things and doing those things better, returning to core strengths, and executing with excellence. We created unnecessary sprawl and became scattered in terms of priorities. We also became a little too homogenized across our brands and lost some of what made our brands great. Going forward, we'll put the brands first and unlock the power that comes from their unique strengths. Five, reinvigorating our culture with resilience and an owner's mindset. We've lost some of our cultural strength along the way, which we are making a concerted effort to reinvigorate. We're enabling our teams to be ownership-driven, to move forward quickly, and deliver with purpose. That mindset is a force multiplier for performance and a critical driver of our future success. We know this journey won't be a straight line. The macro environment remains uncertain with geopolitical friction, economic uncertainty, shifting consumer behavior, and global trade disruption. But I'm confident that we are building a stronger, more resilient Helen of Troy, one that is better prepared to navigate change and capitalize on opportunity. I intend to reinvigorate a renewed culture focusing on performance, execution, and consistent long-term value-creating results. Moving on to the quarter. Our Q1 results were well below our expectations. Tariff-related disruption on our shipments was greater than we originally expected in April. There are three tariff-related impacts making up approximately 8 percentage points of the 10.8% consolidated revenue decline. One, cancellation of direct import orders from China in response to higher tariffs. Two, tariff-related pull forward of orders into the fourth quarter of fiscal 2025, leading to elevated inventory and lower replenishment in the first quarter of fiscal 2026, which we expect to continue into the second quarter as demand continues to soften, and three, China softness driven by a shift from cross-border e-commerce to localized distribution models and increased competition from domestic sellers driven by government subsidies. In addition to the tariff-related impacts, we also saw weeks of supply adjustment at certain key retailers as shifting consumer demand curves are being reflected in retailers' inventory management practices. Finally, we are seeing clear evidence of the consumer trading down with average price compression of 3% to 4% in our US business, which impacted first quarter revenue and profitability. You may have seen other companies recently calling out trade-down behavior, including the dollar stores, which are a beneficiary of this trend. Tracy will take you through second quarter revenue in more detail, and you can also refer to the investor presentation on our website for an illustration of tariff-related and other revenue impacts by segment and in total. Despite the headwinds, we are encouraged by underlying improvements we are seeing in our business. Highlights include US point of sale unit growth in eight out of our 11 key brands in the first quarter, point of sale dollar growth in US mass of 4.4%, strong category growth in key categories such as prestige hair liquids, air purifiers and thermometry DTC revenue growth of 9% year over year Osprey revenue growth of three point seven percent and point of sale growth of 3.8%, driven in part by the success of our expansion into categories outside of technical packs, Pearl Smith revenue growth of 17%, Olive and June revenue and profitability that continues to exceed expectations, and strong free cash flow of $45 million compared to $16 million in the same period last year. We believe these are indicative examples of improving fundamentals in the company, but we acknowledge that we need to deliver this kind of strength much more consistently across the portfolio. Turning to our business segments. The decrease in home and outdoor net sales was primarily driven by tariff-related impacts, which we believe are largely transitory over time, but are expected to persist into the second quarter. Turning to OXO. Brand fundamentals remain strong as OXO gained share and extended its leadership in kitchen utensils in the quarter. Our Twist and Stack food storage line launched in January has been highly praised by consumers for quality, versatility, and thoughtful design. Hydro Flask remains one of the category's most loved brands as consumers continue to shift from tumblers back to back toward traditional bottles where Hydro Flask has been historically strong. On the innovation front, the MicroHydro, a 6.7-ounce insulated bottle, soft-launched via DTC and Whole Foods, has been an early winner with one of our brick and mortar buyers recently saying, I love seeing customers come up to the displays completely smitten with the product on-site. Consumers are responding enthusiastically to its functional but fashionable size, so much so we continue to chase demand on our DTC platform. More to come as we lean further into this initial success. Hydro Flats International business also grew, driven by expanded distribution in the Asia Pacific region and Canada. As mentioned, Osprey posted nice growth, benefiting from expanded distribution, category stabilization and robust DTC performance. While the broader US technical pack market remains challenged, Osprey continues to lead, holding the number one market share three times the size of the next national brand. Osprey again gained share in the kit carrier pack category and also received two major accolades this quarter. The Scarab 18 was named best hydration pack for hiking, and the Atmos AG 50 won best multiday hiking pack in the Men's Journal 2025 Outdoor Awards. Turning now to our Beauty and Wellness business. Overall, the segment sales decline was driven primarily by similar direct import cancellations, tariff-related pull forward by retailers in the fourth quarter of last year and softer point of sale internationally, driven in part by cascading impacts of trade policy in the China market. In beauty, Revlon is gaining share in the below $100 category with its value positioning resonating strongly in the current environment. In the above $100 category, we're excited about the initial soft launch success of the driver all-inclusive styler, which is an eight-in-one multi-styler that provides more functionality and styling options than the competition, but is more affordably priced. The all-inclusive has gained strong traction with influencers and online. We are now rolling into an exclusive brick and mortar hard launch at Ulta, which you will begin to see in store at the July. As mentioned, Curlsmith grew in the quarter, driven by new liquid innovations, including a fragrance free line, a detox shampoo, and a multi-benefit curl shield heat protectant cream. Curlsmith also launched an innovative new tool, the Dufryzion Curl Reviving Wand, designed for enhanced styling to refresh, enhance, and define curls with less heat. It comes with interchangeable barrels to match varying consumer curl patterns and has been well received by consumers and retailers. Olive in June continued its momentum, growing much faster than the overall nail category at its brick and mortar customers and recently launching on Amazon at the end of the first quarter. The brand continues to distinguish itself within the industry. For the second year in a row, Olive and June has been named to Fast Company's most innovative companies, gaining recognition for its innovative gel polish system that was launched last October and gives consumers the ability to produce salon-quality nails at home. This coveted honor is the definitive recognition of organizations not just keeping up, but setting the pace for transforming industries and shaping society. In wellness, our business was primarily impacted by lower international sales, largely driven by China, where geopolitical trade tensions and government subsidies are pushing the Chinese consumer toward domestic goods. We also saw a weak close to the illness season in the Asia Pacific region. A highlight of the quarter was the launch of this line at Walmart and select grocery stores in May. We expect additional distribution to roll out over the summer. The PureSlim pitcher is an eight-cup pitcher system available in multiple colors, large enough to quench a sizable thirst, yet compact enough to fit in a mini fridge. Domestically, Braun benefited from both category growth and market share gains across brick and mortar and online channels fiscal year to date. This was strengthened by new distribution in Walmart and CVS as well as strong performance on Amazon. During the quarter, we also secured new Braun distribution for blood pressure monitors at Walmart. Additionally, our new Vicks VapoSteam Lavender Scent launched on Amazon and will hit shelves at Walmart and other select retailers later this summer, just in time for the upcoming cough, cold, and flu season. When used with the humidifier or vaporizer, Bix VapoSteam Lavender releases a lavender-scented medicated mist that helps calm the impulse to cough, promoting a restful night's sleep. Moving on to our outlook. We are providing an outlook for the second quarter of fiscal 2026, but not the full year, given the uncertainty related to still evolving tariffs and their potential impact on both revenue and cost. As mentioned, we expect tariff-related disruption on our revenue to persist into the second quarter. We believe the disruption is largely transitory but will require more certainty with respect to global trade policy in order to stabilize. As we saw from the US administration's trade announcements on Monday, there is still a lot of uncertainty that will need to play out. We also believe that the inflationary impacts from higher tariffs have not yet been fully realized by the consumer, which could create further pressure on our results in the second half of the year. We are providing some information on our investor presentation to give some directional perspective on puts and takes for the first and second halves of the year. In the meantime, we're focused on improving our fundamentals, adapting to a dynamic environment, controlling the things we can control, and delivering on our commitments. We look forward to updating you on the progress of our five key initiatives to rebuild our platform for profitable growth. With that, I'll pass the call to Tracy to provide more detail on our financial results and outlook for the second quarter.
Tracy Shereman: Thank you, Brian, and good morning, everyone. Thank you for joining us. I'm excited for the opportunity to come back to Helen of Troy and work once again alongside a dedicated and talented team, and I'm energized by the opportunity I see ahead for the company. Just a bit of my background on me. I started my career in public accounting with KPMG over thirty years ago before joining Borden Inc, where I held roles in internal audit and corporate finance. I joined OXO when the business operated under World Kitchen and remained through its acquisition by Helen of Troy in 2004, holding leadership roles across finance, supply chain, and operations. Over the years, I have had the opportunity to help lead the acquisition and integration of several brands within our portfolio, experiences that have given me a deep understanding of the business, both strategically and operationally, and supported the organization's continued growth and transformation. Most recently, I served as senior vice president of finance and operations for the home and outdoor segment. Like Brian, Helen of Troy has shaped much of my professional journey, and I'm fortunate to step into this role with a deep understanding of the business, a passion for these brands, and a love for the people behind them. Our first quarter proved to be a particularly challenging one with sales and profitability below our expectations. As Brian mentioned, being focused and disciplined will be key as we move forward. His message is a great reminder of the mindset we need to bring every day, thinking like owners and keeping our customers at the center of what we do. By staying true to what matters, we're positioning ourselves to deliver on our commitment. In my first two months back, I cannot only see, but also truly feel a renewed sense of focus and optimism across the organization. During the quarter, we made significant progress on the tariff mitigation plans we outlined on our fourth quarter call. We continue to build out our internal Southeast Asia sourcing capabilities to accelerate supplier transitions out of China, leveraging our long-standing strategic partnership. And in many cases, we are dual-sourcing our production and making capital investments to replicate legacy China production. In addition, we have implemented strategic price increases that will take effect near the end of summer. As we mentioned in April, we purchased additional inventory in advance of the incremental 30% tariff implementation to limit our exposure. After the temporary pause was implemented, we resumed targeted inventory purchases. While the impact on our cost of goods was minimal, we layered approximately $14 million of direct tariff costs into our ending inventory. As we move forward, we are approaching our inventory buys with a thoughtful approach and expectation of measured consumer demand in the short- to intermediate-term as inflation continues to shape spending behavior. Please refer to the investor presentation on our website for a complete summary of the tariff mitigation actions we are taking. On our April earnings call, we highlighted some planned cost reduction measures in light of the proposed tariffs at that time. Following the temporary tariff suspension, we adjusted our cash preservation measures but remained disciplined in our approach given continued tariff uncertainty. Our current cost reduction measures include the following. Suspension of noncritical projects and capital expenditures except those supporting supplier diversification and dual sourcing projects. Reduction of personnel costs and extended pause on those projects and travel spend. Prioritization of marketing, promotion, and product development investments with the highest returns, and lastly, we have taken actions to improve working capital efficiencies and balance sheet productivity. With the combination of these cost reduction measures and the tariff mitigation actions I just mentioned, the company now believes it can reduce the net tariff impact on operating income to less than $15 million based on tariffs currently in place. Please refer to the investor presentation on our website for a summary of the gross unmitigated impact of tariffs at current rates, the amount we believe we can mitigate or offset, and the net remaining impact on operating income for fiscal 2026. Turning now to our first quarter results, consolidated net sales decreased 10.8%. Excluding the impact from Olive and June, organic net sales decreased by 17.3%. To provide a little color around the revenue decline, approximately 45% of the organic revenue decline was driven by tariff related trade disruption. This primarily reflects three factors. The pause or cancellation of China direct import orders in response to increased tariff rates and trade policy uncertainty, a slowdown in retailer orders following pull-forward activity in the fourth quarter of fiscal 2025, and evolving dynamics in the China market, a shift towards localized fulfillment models and heightened competition from domestic sellers benefiting from government subsidies. We believe these impacts are largely transitory, but we do expect them to linger into the second quarter. The remaining decline reflects broader demand softness across our categories even if several of our brands gained or maintained share. This category softness was driven by shifting consumer behavior, including trade down to value price points and prioritizing essential categories amid concerns about future pricing pressures and broader economic uncertainty. If these trends impacted purchase volumes, retailers also adjusted their inventory levels. In addition, we also saw slower replenishment in the Asia Pacific region due to a milder cough, cold, and flu season. These impacts were partially offset by favorable year over year comparisons, including prior year shipping disruptions at our Tennessee distribution facility and the integration challenges from Carlsmith. Now shifting to a closer look at our segment performance, I'll begin with Home and Outdoor, where net sales declined 10.3% with approximately 6.7 percentage points of the decline driven by tariff-related disruption. This included direct import cancellations within the club channel as well as what we believe to be tariff related pull forward activity at the end of fiscal 2025 in our home category. The remaining decline reflects broader demand softness in the home and insulated beverageware category, retailer inventory adjustments in response to the softness and net distribution declines within our beverageware and the outdoor channel. These headwinds were partially offset by the favorable comparison to prior year shipping disruptions at Tennessee distribution facility as well as strong domestic demand for technical pack. Turning to our beauty and wellness business, net sales declined 11.3% with approximately 9.7 percentage points of the decline driven by tariff-related disruption. This included direct import cancellations as well as decline in international thermometry sales driven by softer POS trends, partially impacted by the cascading effects of trade policy in the China market. The remaining decline reflects broader demand softness in the fan, hair appliances, and prestige hair care categories along with retailer inventory adjustments in response to softer demand and a weaker illness season in the Asia Pacific region. These headwinds were partially offset by incremental revenue from Olive and June of $26.8 million and the integration challenges from Kearl Smith in the prior year period. Consolidated gross profit margin decreased a 160 basis points to 47.1%, primarily due to increased consumer shift toward lower price alternatives, which pressured margins, as well as elevated retail trade expense in response to a more competitive retail environment. Margin was further pressured by the comparative impact of favorable inventory obsolescence expense in the prior year period and a less favorable brand mix within home and outdoor. These factors were partially offset by the favorable impact of the acquisition of Olive in June within beauty and wellness and lower commodity and product costs, partially driven by project Pegasus initiative. SG and A ratio increased 420 basis points primarily due to incremental growth investments of approximately 240 basis points, CEO succession costs of approximately 100 basis points, higher outbound freight costs resulting from modest rate increases in channel shift mix, the impact of the Olive and June acquisition, and the impact of unfavorable operating leverage. Our SG and A ratio is typically higher in the first quarter as it's our lowest revenue period of the year. However, the greater than expected revenue decline outpaced our spending reductions further elevated ratio. GAAP operating loss for the quarter was $407 million, primarily due to a $414 million of noncash impairment charges incurred primarily due to the sustained decline in our stock price and the lower gross profit margin and higher SG and A rate I just mentioned. On an adjusted basis, operating margin decreased 600 basis points to 4.3%. The decrease was primarily driven by consumer trade down behavior, 240 basis points of incremental growth investment, higher retail trade expense, higher outbound freight costs, a less favorable brand mix within home and outdoor, comparative impact of favorable inventory obsolescence expense in the prior year, and the impact of unfavorable operating leverage. These factors were partially offset by the contribution from Olive and June and lower commodity and product costs, primarily driven by our Project Pegasus initiative. On a segment basis, adjusted operating margin declined by declined to 5% for Home and Outdoor and to 3.7% for Beauty and Wellness, which benefited from the contribution of Olive and June. Income tax expense was $30.2 million compared to $12.1 million for the same period last year, primarily due to the timing of the accounting for the tax impact of the impairment charge in the quarter. Non-GAAP adjusted EPS was $0.41 compared to $0.99 in the same period last year. This year over year decrease was primarily due to lower adjusted operating income and higher interest expense. Turning to our inventory balance, we ended the quarter at $484 million or approximately $40 million higher than the same period last year. Including inventory related to the Olive and June acquisition and $14 million tariff-related costs that layered into inventory, our ending inventory was largely flat year over year. However, we are not satisfied with our current levels and have worked underway to improve our inventory position and turns in the second half of the year. Turning to our debt and liquidity position, we ended the first quarter with total debt of $871 million, a sequential decrease of $46 million compared to the fourth quarter of fiscal 2025. During the quarter, we borrowed $250 million under our delayed draw term loan facility and utilized the proceeds to repay debt outstanding under our revolving credit facility. The borrowing availability on our credit on our revolving credit facility is $605 million, and the limitation on our ability to borrow based on our leverage ratio is $346.7 million. Our net leverage ratio was just over 3.1 times at the end of the first quarter as compared to three times at the end of fiscal 2025. With cash flow preservation measures I mentioned earlier, we expect continued improvement in our financial position and liquidity, driven by positive free cash flow in the second half of the fiscal year. However, we do expect second quarter free cash flow to be negatively impacted by lower sales in the first quarter, higher tariff costs, and timing related working capital movements. Now I'd like to turn to our outlook. The evolving trade disruption, ongoing uncertainty, and the potential impact on inflation, consumer confidence, and consumer spending in our discretionary categories make longer term forecasting challenging. As such, we are not providing an outlook for the first for the full fiscal year at this time. However, we are providing outlook for our fiscal second quarter. Consistent with what we experienced in the first quarter, we expect continued tariff-related trade disruptions, including pause to reduce direct import orders due to tariff uncertainty as well as lower international sales driven by shifting market dynamics in China. Demand softness is also expected to persist driven by ongoing consumer pricing pressures. In response to these trends, we anticipate that retailers will remain cautious in their ordering patterns as they manage inventory levels and continue to adjust for elevated inventory on select brands following first quarter. We expect these impacts to be partially offset by incremental revenue from the Olive and June acquisition. We expect net sales between $408 and $432 million in the second quarter of fiscal 2026, which implies a decline of 14% to 9%. In terms of our net sales outlook by segment, we expect a home and outdoor decline of 16.5 to 11.5% and a beauty and wellness decline of 11.3 to 6.1%, which include an expected incremental net sales contribution of $26 to $27 million from Olive and June. We expect consolidated adjusted diluted EPS in the range of 45¢ to 60¢. Our adjusted EPS outlook includes expected margin compression due to the impact of a more promotional environment, consumer trade down behavior, less favorable mix, higher direct care-related costs, and unfavorable operating leverage, partially offset by lower commodity and product costs driven by our project, I guess, this initiative. In response to our unfavorable operating leverage, we are taking actions to reduce spending and expect to normalize our SG and A ratio to approximate 37% to 38% for the remaining three quarters of the fiscal year. We anticipate a more pronounced improvement in the second half reported by our seasonal revenue patterns, easing tariff-related trade disruptions, and the impact of our price increases to retail on our SG and A ratio. In terms of our tax rate in the second quarter, we expect our adjusted effective tax rate to range from 29% to 31%, which excludes the timing of the accounting for the tax impact of the impairment charge taken in the first quarter. Inventory levels are expected to increase to approximately $510 million to $520 million at the end of second quarter or roughly $40 million to $50 million above the same period last year. This increase is primarily driven by seasonal inventory builds, the impact of the Olive and June acquisition, and approximately $35 million in tariff-related costs capitalized into inventory, partially offset by lower levels of excess and obsolete inventory. Looking at the full fiscal year, based on tariffs currently in place, current inventory levels, and consumer demand trends, we continue to expect that the vast majority of direct tariff costs will impact the second half of our fiscal year, which is largely aligned with our plan price increases. If consumer demand begins to slow, the weighted impact will be pushed out even further. As mentioned previously, we believe diversification and dual sourcing will allow us to mitigate supply chain risk now and in the future, but we do expect incremental operating expenses and capital spending in fiscal 2026 as a result. We continue to believe that the majority of the diversification benefits won't be realized until the end of fiscal 2026 or early fiscal 2027, while some of the direct tariff impacts will begin to be realized sooner. We now estimate that our diversification efforts will reduce our ongoing exposure to time to tariffs on US imports to approximately 25% cost of goods sold by the end of fiscal 2026. Our estimated end of year exposure increased from 20% to 25% since our last earnings call, primarily due to updated timing for the Southeast Asia transition and revisions to our inventory strategy, which was originally developed under the assumption of a 145% tariff. With tariffs now at 30% and pricing actions underway, retailers remain focused on in line goods to avoid shelf disruptions, prompting a corresponding change in our sourcing approach. Looking ahead to fiscal 2027, we expect continued progress to further reduce our exposure to China tariffs on US imports to approximately 15%. In parallel, we continue to expect that over 40% of our US-bound purchases sourced from China will be dual sourced and available from other regions by the end of fiscal 2026, increasing to over 60% by the end of fiscal 2027, positioning us to operate with greater control, flexibility, and increasingly dynamic global environment. We have an updated slide in our investor presentation that illustrates the estimated composition of our ongoing purchasing exposure by the end of fiscal 2026 and fiscal 2027 as compared to fiscal 2025. As we wrap up, I want to leave you with a few key takeaways. First, I believe we are well positioned to navigate the macroeconomic environment and emerge stronger with the following clear priorities in place: accelerating supply chain diversification outside of China executing targeted pricing strategies, maintaining cost and cash discipline, and preserving balance sheet strength. Second, we are taking clear actions to simplify how we work, sharpen how we invest, and strengthen our connections with consumers, retail partners, and each other. Third, we continue to focus on delivering high-quality, purpose-built products that not only meet real consumer needs, but are also both functional and accessible in today's value-driven landscape. And finally, we are building on the strength of our diverse portfolio of brands that resonate deeply with consumers and stand for quality, performance, and trust. And with that, I will turn it back over to the operator for q and a.
Operator: Thank you. We will now be conducting a question and answer session. Our first question is from Rupesh Parikh with Oppenheimer and Company. Please proceed.
Rupesh Parikh: Good morning and thanks for taking my question. So I just wanted to go back to your commentary on pricing. We'd love to hear your plans from a pricing perspective. Just more color in categories you're taking price and then just how you're thinking about elasticity just given we are in a weaker, environment? Thank you.
Brian Grass: Yes. I can start, and then maybe Tracy can build, Rupesh. So and and this is indicated on one of the slides investor deck. We did put a lot of content in the investor deck this quarter as there's, you know, a lot of nuance and puts and takes to explain. So hopefully, it's helpful. We're implementing and have them ready to go and and essentially lined up with the retailers to implement an average price increase across our portfolio of in the range of 7% to 10%. And if you look on an individual product basis, that ranges from 0% because there's items we're not taking price on to as high as 15% on an individual item. So that's kind of the breadth and the scope of the price increases, that that we have lined up. And then I'm sorry. What was the second part of the question?
Rupesh Parikh: Just to relate that elasticity is higher than your elasticity. Yes.
Brian Grass: It's a very good question because I think it's sometimes not considered, and it is a big consideration. We have tried to be very conservative with respect to the elasticity assumptions that we're making because of the reason you said, which is it's a difficult environment. And so, you know, I know that there's a little bit of you know, at a 145% tariff, you could offset $50 to $60 million of the impact. And then at 30% tariff, we're still seeing unmitigated. We have, you know, less than $15 million. That math doesn't necessarily square up. One of the reasons for that is we're making conservative elasticity assumptions, with respect to our price increases.
Rupesh Parikh: Yeah. And then I guess I'm sorry. Go ahead. Yep.
Tracy Shereman: Go ahead. So I was just gonna layer on that, you know, when we look at our pricing, it's very selective by brand. It's really based on, you know, where that brand is in the category, whether it's essential or more of a discretionary item, and then also, you know, the country of origin. And overall, like Brian said, you know, we are taking pricing and it it's it's making sure that we align with where we think the the category is gonna line in market, to make sure that we're, know, in the right in the in the right spot, getting to the the sweet spot of pricing.
Rupesh Parikh: Great. And then my follow-up question is just just for q two specifically, any more color you can provide in terms of the interplay between gross margins and SG&A?
Tracy Shereman: Yeah. For Q2, what I would say, if you compare it to Q1, we'll probably be a little bit worse, maybe by, like, 40 bps to 50 bps better than the first quarter. But year over year, we're gonna see improvement. So, you know, last year, we had a lot of inventory cleanup, working through the warehouse. We also have a favorable headwind or a tailwind for Pegasus coming in q two. So we do see some improvement in q two versus q one or versus prior year. And then in terms of our SG&A ratio, so we were elevated in q one. We were around 45% of revenue. That is going to come down. Right now, we're kind of in the 40 to 41 ish range. But as we implement our cost reduction measures, we'll level out to about 39% in the back half.
Brian Grass: And I'll just build on that with you know, there's likely gonna be question about growth investment spending as we move forward. Our point of view, at least in the short term is, that there was a point in time we were trying to get to 9% of net sales, and we had achieved that as of the end of last year, about 8% of net sales. The vision, at least in the short term, is not pursue the 9%, but likely to keep our growth investment flat, with revenue, especially, you know, in the environment we're in and the decline in revenue. There's too much fixed cost leverage that gets lost if you're trying to grow that. And we really think we can make our growth investment spending punch above its weight and still achieve the same revenue results, but spend the money more effectively. So that's what we're working on there.
Rupesh Parikh: Great. Thank you for all the color. I'll pass it along.
Operator: Our next question is from Peter Grom with UBS. Please proceed.
Peter Grom: Thanks, operator. Good morning, everyone. Hope you're doing well. This may be a hard question to answer, but I guess what I'm trying to understand is how we should be thinking about the long term earnings power of the business just in the context of what we're seeing, right? You look at first quarter performance, second quarter guidance, earnings are going to be down quite substantially. And I guess what I'm really trying to understand is how much of this is really a timing mismatch between the cost and the headwinds versus the mitigation versus how much of this is kind of now ongoing in the base? I get it's a broad based question, a lot of moving pieces, but just any thoughts in terms of how investors should think about that as we look out over the next call it one to two years?
Brian Grass: Yeah. No. Actually, Peter, I'm I so I think it's a great question. I'm glad you asked it because I did want to address it. So, we called out let me just start by referring to, you know, some of the big exogenous impacts that we experienced in Q1 and we expect in Q2. And a big part of that is the direct import business, which we did call out in April, but we acknowledge that it turned out to be much more significant than we expected. There was only about two weeks between the tariff announcements and our Q4 earnings, so there was not a lot of time to understand all the cascading impacts and the size of them. And while we're not giving guidance for the full year, I would just so we can be grounded in something, we believe the existing consensus estimate for the full year is not unreasonable. However, as you mentioned, the cadence of the results between the first half and the second half is off versus our point of view. And part of the reason for that is the consensus estimates were developed with the assumption of 145 China tariffs, not 30% tariffs. With 30% tariffs, the tariff mitigation plan is much, much different. We can mitigate much more of the impact with pricing actions, which we do have teed up to become effective in the second half of the year. The majority by far of our net mitigated unmitigated tariff impact will fall into Q2 because there's no pricing action in place to offset the impact. The quarterly net unmitigated tariff impact in Q3 and Q4 will be much less. Even though, as we mentioned to Rupesh, we believe we're making conservative estimates with respect to demand elasticity and loss of volume. Just to be on point, we don't think it's correct to take q one results, q two outlook and then add it to the existing consensus to try and get an estimate for the full year. So the whole cadence of the year has kind of shifted, you know, versus maybe original expectations to what we expect now. And it's really because of the change in, you know, the size of the tariffs and then the changes in our mitigation plan as a result and then the much heavier weight in terms of mitigation coming from price increases than they were previously. And what we try to do is make this at least somewhat helpful in terms of understanding the puts and takes. If you look at Slide 14, you're going to see the first half of the year with a much heavier weight of headwinds and a much lower weight of tailwinds. And then it really flips in the second half of the year where we have a much heavier weight of tailwinds and then a much lower weight of headwinds. So I'll stop there and see if that was helpful. And if there's any follow ups, let me know.
Peter Grom: No. That was super helpful. I guess just to play it back, if consensus is in the you know, I'm I'm looking at Bloomberg. It seems like it's roughly in the five dollar range. If, you know, you kind of back that out, that would imply in the second half, despite all these moving pieces, you would expect earnings to continue kind of flat to down modestly versus what we're seeing right now. Is that kind of the right take? And then as we think about the run rate moving forward, that would imply some substantial recovery, at least in the first half of fiscal 2027.
Brian Grass: Yeah. I think it's still net down to get to that point, but
Peter Grom: Okay.
Brian Grass: Definitely improvements. I mean so, yes, I think you're in the ballpark of what would need to be true in the second half of the year to make consensus estimates reasonable. It would require improvement, which we are expecting, but I don't think it has to get all the way to flat.
Peter Grom: Okay. And then I guess just on that point, I mean, how much of that is with it going to that slide, you know, just hearing your thoughts there. How much of that is within your kind of control versus how much of that is predicated on, maybe the category is getting better and it could be good or bad, right? Maybe you're making very conservative assumptions and if things do get better from a demand perspective, that would be upside. But just really curious how you're thinking about the things that are not within your control as we look as you talk about that back half.
Brian Grass: Yes. I think it's a great question. I mean I think the price increases, to some extent, are in our control, and they are set with the retailers. Now the question is what's the consumer going to do in response? And that's where we've tried to make conservative elasticity assumptions. Then we're making an assumption that retail inventory has to stabilize at some point. There's been a lot of kind of pull forward and then lack of replenishment orders, and we definitely saw that in Q1, and we think we're going to see it in Q2. That has to stabilize at some point, and so we've assumed that it will in the second half of the year. The direct import ordering, I mean, I think that has to stabilize at some point as well. There's product that retailers are just very ingrained in buying on a direct import basis. And they haven't had a lot of time to adjust to buying it on a different kind of basis. And what I really think they're doing is they're waiting to see what's the level of price increase that we give them at retail, and then they can arbitrage. They can see the price increase at retail through normal replenishment, and then they can arbitrage that against buying on direct import. And in most cases, I think they're going to pick buying on a replenishment basis because direct import is going to have 30% tariff. In many cases, our price increases are not fully covered. I don't see many cases. In some cases, our price increases are not fully covering the tariff impact. And so they can arbitrage and pick the one that's more beneficial to them. So I think they're waiting for that to play out for then this business to come back into the fold and be stabilized. More assumptions that you have to make is regarding cough, cold, flu season. We're assuming normal, which would be an improvement over what we've seen kind of in the last two years. We do have distribution gains that are kind of in place and just need to be executed again. So that's, you know, that's positive. And if you're looking at year over year comparison, we had some challenges with our Osprey integration last year. That comparison gets more favorable because we don't have those same challenges now. You know, from a profitability perspective, we expect improvement through greater efficiency from our distribution facility, which is now kind of ramping up the peak efficiency levels. All of in June, we expect their results to continue to accelerate. So increasing sales and increasing EPS as time goes. And then hopefully, you saw that we generated pretty strong cash flow in the quarter, and we expect to do that in the second half of the year, which will allow us to pay down debt and get interest expense. So that's kind of a walk related to the tailwinds that we're assuming for the second half.
Operator: Our next question is from Olivia Tong with Raymond James. Please proceed.
Olivia Tong: Great. Thanks. Good morning, everybody. I wanted to first follow-up on your comments around retail distribution gains, what you say on Slide 14. If you could just talk about what categories, and, I was saying that that's a net number. Are there anywhere, as you think about the fall resets, where you saw, self based consolidation, destocking of your brand, and, just give a little bit more color there.
Brian Grass: Sorry, Olivia. I didn't hear the first part of your question. Could you repeat that?
Olivia Tong: Sure. My question was just around your comment around retail distribution gains that should benefit the second half given that, it would suggest that consensus is probably off by about a dollar. So just in terms of the retail distribution gains, I assume that's a net number. Could you talk about where you made gains and if there were any areas where you did lose any self base?
Tracy Shereman: Yeah. I'll start with that one. Hi, Olivia. Nice to meet you. I would say in terms of our distribution gains, so we are expanding distribution in Walmart within our blood pressure monitors. So that's a nice tailwind for us. In addition, we are expanding both Hydro Flask and Osprey in our EMEA and Asia Pacific region. So we're looking at, you know, new distribution, partnering with new strategic partners. So there's a lot of acceleration, a lot of end market activity happening with behind those two brands. In terms of it is a net distribution. So in terms of things that are tailwinds for us, we for Hydro Flask, we reduced the footprint within our outdoor segment. So there's a little bit of a decline there, as well as, some adjusted retail levels within the beauty appliance category.
Brian Grass: I just build we've we're also got additional distribution related to thermometry as well. So, yeah, net it it's a net number. You know, we think it's real. It's kind of already in place. And, you know, there's a heavier weight that there's emerging white or not emerging, but there's white space internationally that we're really looking to take advantage of and be a big driver as we go forward. So that's a big component.
Olivia Tong: Got it. That's helpful. And then, I'm not sure you can answer this question, but if you could talk a little bit about the CEO search process, where you guys stand. I don't know if there's any comment that you can make. But as you think about, you know, sort of the profile of your next leader, how is the board, how is the board thinking about that?
Brian Grass: Yeah. I can't, as you said, speak too much to it because I'm not, you know of course, I'm I'm involved to a certain degree, but they're really leading the search. And at this stage of the process, they're doing the bulk of the interacting with the candidates that they have in front of them. You know, there will be a point in time likely later where it's you know, management is a little bit more involved. But at this point, you know, they're the ones leading it. And, you know, they're really looking for someone with deep experience, in terms of brand building, you know, growth. Growth is very much, something that we wanna get back to. They they you know, they're looking for somebody even though we're not, you know, in the best position currently with respect to results and and getting back to growth, but but someone that believes in the growth potential of the business and the brands, and and can really help us drive that and move that forward. I'll just say this. What I can speak to is what we're doing in the meantime. What we're doing in the meantime is not standing still. And as you might have heard from my prepared remarks, I have a little bit of a different philosophy than maybe what we had previously in terms of the best and most sustainable way to drive that growth. My belief is with the business that we have and the brands that we have, product-driven growth is more sustainable, and we're better off with more product-driven growth than with, you know, what maybe marketing-driven growth or or other ways to achieve it, maybe focusing on distribution. I think you got to start with product. And when you start with product, it sets the table kind of for everything else. And so that's the approach we're taking. Now the downside of that is product, you know, innovation takes longer in a lot of cases. But what we're trying to do is pull all the levers with respect to innovation. There is shorter term innovation that's available to us, and we'll take advantage of that. And that could be new features, that could be new finishes and colors. We, you know, reskinning things, things of that nature. And then we're also looking at bringing in outside expertise, which is gonna allow us to deploy faster. And there are cost-effective ways of doing that, and so we're looking at that as well. How do we structure it such that the upfront investment is less? And then the investment or/or the payment that has to go to the outside expertise comes only if the projects are successful, and it's more on a royalty basis as a part of sales. So there's there's a whole mixture of of levers and actions that we can take, and we think there's a sweet spot to be found where we can kinda make both our innovation investment and our marketing investment punch above its weight by just kinda looking at it differently And and, you know, accepting that top of funnel awareness investment maybe isn't the best choice for us right now, and and we need things that produce strong ROIs kind of immediately. So just a little bit of flavor of what we're doing now. And we're really trying to, and hopefully, hear it, simplify the organization. We've made things a little bit too complex. Decisions are too slow and require too many points of view. So we're creating more single accountability and trying to move very quickly as a way to accelerate results improvement.
Olivia Tong: Got it. Thanks so much.
Operator: Our next question is from Susan Anderson with Canaccord Genuity. Please proceed.
Susan Anderson: Hi, good morning. Thanks for all the details today. I was wondering if maybe you can give just a little bit of color on just your sell-throughs at retail, how that performed versus kind of what your sell-ins are? Just trying to get a better sense of how the brands are performing at retail and how consumers are responding to them versus the disruption that we're seeing in the sell-ins. Thanks.
Brian Grass: Yeah. Great question. We actually had pretty positive point of sale results for the quarter. You may have heard in my prepared remarks that unit point of sale was actually up in eight out of our 11 brands in the quarter. Now dollar POS was down, which we think is clear evidence of the consumer trading down. So we have called out consumer trade down as one of the factors that we're seeing in the marketplace, and I think it shows in our point of sale data. We're up overall in units, but down in dollars. And, you know, we need to fix that. I'm not saying that that's something that's acceptable, but we do think, the point of sale performance is a leading indicator, and we are seeing positive results on a unit basis, also on a dollar basis in spots. So four out of the 11 brands also grew point of sale on a dollar basis. But we need that more broadly across the portfolio to then start showing up in our revenue results. So point of sale is a leading indicator. I think point of sale unit growth is a positive that shows that we're going in the right direction or a good first step. Now we need to work on dollar improvement. And then assuming we can continue to do that with point of sale, it should show up in our revenue.
Susan Anderson: Okay. Great. And then I guess, you know, with that spread there or that difference, are you seeing any, you know, the inventory at retail, is it getting too lean at all? Or is it still really the back half where you're gonna kinda see that switch and retailers, you know, starting to order more? Yeah.
Tracy Shereman: What would say, coming out of the first quarter, we're pretty well balanced except for a few spots of being over-inventoried. So we did and we did our forecast for additional retailer adjustments into Q2. But we're at this point, there's only a few areas where we're leaning on a few brands. But other than that, we're pretty well situated retail.
Susan Anderson: Okay. Great. Thank you. Good luck next quarter.
Brian Grass: Thank you, Susan.
Operator: There are no further questions at this time. I would like to turn the conference back over to management for closing remarks.
Brian Grass: Thank you for joining us today. I remain confident about the company, its brands, its people and its ability to return to profitable growth. As we navigate the uncertainty of fiscal 2026, we're focused on consistently delivering on our quarterly commitments. We look forward to speaking with many of you over the days and weeks to come to discuss how we expect to achieve our short-term objectives while rebuilding Helen of Troy to provide long-term shareholder value.
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.